Operator: Thank you for standing by, and welcome to the Westwood Holdings Group, Inc. Fourth Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. To ask a question during this session, you will need to press 11 on your telephone. If your question has been answered and you would like to remove yourself. As a reminder, today's program is being recorded. And now I would like to introduce your host for today's program, Jill Meyer, Corporate Security Secretary and Director of Fiduciary Services. Please go ahead. Thank you, and welcome to our Fourth Quarter 2025 Earnings Conference Call.
Jill Meyer: The following discussion will include forward-looking statements that are subject to known and unknown risks, uncertainties, and other factors, which may cause actual results to be materially different from those contemplated by the forward-looking statements. Additional information concerning the factors that could cause such a difference is included in our press release issued earlier today as well as in our Form 10-Ks for the year ended 12/31/2025, that will be filed with the Securities and Exchange Commission. We undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. You are cautioned not to place undue reliance on forward-looking statements. In addition, in accordance with SEC rules concerning non-GAAP financial measures, the reconciliation of our economic earnings and economic earnings per share to the most comparable GAAP measures is included at the end of our press release issued earlier today. On the call today, we have Brian Casey, our Chief Executive Officer, and Terry Forbes, our Chief Financial Officer. I will now turn the call over to Brian Casey.
Brian Casey: Good afternoon, and thanks for joining Westwood Holdings Group, Inc.'s Fourth Quarter 2025 Earnings Call. I am looking forward to sharing our full-year results, key developments from the past quarter, and a look into what this year holds in store. First, here are some of last year's more significant milestones and achievements.
Brian Casey: Our ETF franchise now exceeds $200,000,000 including our latest ETF, Enhanced Income Opportunity. In addition, MDST surpassed the $170,000,000 mark in AUM. We closed our second oversubscribed private equity fund, Westwood Energy Secondary Fund II, with more than $300,000,000 in commitments for the fund and two related co-investment funds. Our Managed Investment Solutions team secured its first institutional client, and we had strong full-year sales growth, $2,500,000,000 versus $2,100,000,000, up 20%. Many key equity indices posted new records last year, however, investors were pulled in different directions during the final quarter. The S&P 500 rose less than 3% but still ended the year up 18%. Despite economic headwinds, the U.S. economy did manage to record modest growth against the backdrop of consumer confidence remaining near all-time lows. The Federal Reserve cut short-term rates by 75 basis points from September through December, amid weakening labor market conditions. Signs of fatigue in the long-running bull market in tech stocks started to appear, as investors shifted their focus from the promise of AI towards more tangible near-term financial results. Bond markets generated positive total returns for the year supported by declining yields. Several of our investment strategies demonstrated resilience and competitive positioning across multiple time horizons and asset classes. Within U.S. Value, our SMID Cap strategy is performing well, with top-third rankings over three-year rolling periods. Solid results like these are founded upon our disciplined approach to identifying high-quality businesses trading at attractive valuations. Our Multi-Asset strategies are demonstrating exceptional long-term strength. Credit Opportunities has delivered outstanding results, ranking in the top decile among peers over three- and five-year periods. Income Opportunity is providing attractive returns, posting competitive peer rankings while delivering consistent income to investors. Our Salient energy and real estate strategies continue to deliver competitive long-term performance. Real Estate Income ranks in the top third over rolling three years, and our MLP and Midstream strategies have provided strong absolute returns in an environment favorable to energy infrastructure. Looking ahead, we anticipate continued market uncertainty driven by a variety of economic indicators and policy developments. No matter what happens, we believe our focus on high-quality businesses with strong fundamentals positions us well for the future. As investors broaden their focus beyond mega-cap technology stocks, high-quality companies with low levels of debt, high returns on invested capital, and strong management teams should be viewed very favorably. Against the backdrop of elevated market valuations, good companies trading at a discount to market or peers should prove resilient and offer attractive shareholder returns. Turning to distribution, our team delivered exceptional results last year, demonstrating the appeal of our product lineup and the effectiveness of our distribution strategy. The institutional channel achieved gross sales growth of 36% versus the previous year. This strong performance reflected our ability to gain traction with institutional investors across multiple strategies, particularly in SMID Cap and Small Cap Value. Several significant pipeline opportunities advanced last quarter, including defined contribution plans with major national consultants. We are very pleased with the progress being made by our Managed Investment Solutions team, are holding constructive conversations with clients and prospects regarding customized solutions, and we look forward to additional wins early this year. The infrastructure and liquid real asset strategies we launched last year have attracted strong interest from institutional investors seeking alternatives to traditional equity and fixed income allocations. The intermediary distribution team also achieved outstanding results, posting full-year gross sales growth of 32% versus 2024. This was our strongest annual intermediary performance in several years thanks to the successful execution of our intermediary distribution strategy. Particular strength was demonstrated in our energy and real asset products, which resonated with advisers and clients seeking income and diversification. Our MDST ETF has now achieved the asset scale required for approval on major broker-dealer platforms, and we expect new platform additions this year. The expanding breadth of our offerings, spanning traditional active strategies, income-focused solutions, tactical approaches, and alternative investments, positions us well to meet diverse client needs. We continue to invest in our distribution capabilities, and the momentum we have built provides a strong runway for growth in 2026. Throughout last year, we conducted a deep dive within our wealth to better align our services with the direction of the industry and how we are uniquely positioned to grow our business. Multigenerational families are looking for integrated, high-touch guidance that spans investments, planning, trust, and legacy needs, all of which represent a great long-term opportunity for Westwood Holdings Group, Inc. given the strength of our trust company and our long history serving complex Texas families. As a multifamily office with corporate trustee powers, we are well equipped to understand a family's complete picture and can step in seamlessly when named as executor or successor trustee. Our objective approach, dedicated teams, long-term continuity, and rigorous regulatory oversight combine to provide a level of professionalism that is difficult, if not impossible, for individual fiduciaries to match, while our deep expertise in trust administration allows us to manage complex requirements efficiently and consistently. Throughout the year, we clarified our purpose and vision for our wealth division, rethought our service model, and began transitioning to a more coordinated, team-based delivery structure designed to enhance consistency and scalability. We completed a comprehensive assessment of our competitive position and identified opportunities to strengthen long-term economics by attracting new ultra-high-net-worth families, deepening existing client relationships, and aligning pricing with market standards. This marks the early phase of a disciplined multiyear evolution of our wealth division, and we remain focused on enhancing the client experience, improving scalability, and positioning our business for sustainable long-term growth that benefits clients, employees, and shareholders. Beyond our core business performance, we achieved several significant milestones last quarter that strengthen our competitive position and expand our market opportunities. We launched the Westwood Enhanced Income Opportunity ETF, ticker YLDW, late in the quarter. This offering expands our income-focused ETF lineup; initial acceptance has been strong. Our flagship MDST ETF, Enhanced Midstream Income, surpassed $170,000,000 in AUM, validating our differentiated midstream strategy and opening doors to additional platform approvals. With the addition of YLDW, our total ETF franchise now exceeds $200,000,000 in assets, marking an important milestone for Westwood Holdings Group, Inc. We closed Westwood Energy Secondaries Fund II on December 31, with over $300,000,000 in capital commitments for the fund and two related co-investment funds, double our initial goal. The second fund builds on the success of our inaugural energy secondary strategy and underscores our ability to raise capital in specialized alternative investment strategies. WES II allows institutional investors to access secondary market opportunities in the energy sector, complementing our suite of energy investment solutions. Since launching WES I, our initial flagship energy secondary fund in 2023, we have raised nearly $350,000,000 and have invested over $250,000,000 across both Energy Secondaries flagship funds and three co-investment funds. As we turn the page on last year and look ahead to this year, we remain confident in our strategic positioning and value proposition. Our diverse range of strategies, expanding ETF platform, and robust distribution momentum position us for continued growth. Our achievements last quarter—the launch of YLDW, the milestone success of MDST, closing our second private equity fund, and outstanding sales growth across institutional and intermediary channels—demonstrate our ability to innovate and execute while maintaining our core strengths in active management. With assets under management of $17,400,000,000, strong competitive performance across multiple strategies, and a proven ability to deliver results across market cycles, we are well positioned to capitalize on opportunities as market conditions shift towards active, value-oriented investment approaches. We are committed to delivering value to clients via high-quality investment solutions and to creating long-term value for shareholders. Thank you for your continued support and confidence in Westwood Holdings Group, Inc. I will now turn the call over to our CFO, Terry Forbes.
Terry Forbes: Thanks, Brian, and good afternoon, everyone. Today, we reported total revenues of $27,100,000 for the 2025 compared to $24,300,000 in the third quarter and $25,600,000 in the prior year's fourth quarter. Revenues increased from the third quarter due to significant investor interest in our exchange-traded funds and private energy secondaries funds, along with higher performance fees. Revenues increased from 2024's fourth quarter primarily due to higher average assets under management and higher revenues from our ETFs and private energy secondaries funds, partially offset by lower performance fees. For fiscal 2025, total revenues of $97,800,000 compared
Terry Forbes: to $94,700,000 in 2024 driven by higher average assets under management and higher revenues from our ETFs and private energy secondary funds. Our fourth quarter income of $1,900,000, or $0.21 per share, compared to the third quarter's $3,700,000, or $0.41 per share, due to higher performance-related incentive compensation in the fourth quarter and unrealized appreciation on strategic private investment in the third quarter, offset by higher revenues. Non-GAAP economic earnings were $3,300,000, or $0.36 per share in the current quarter, versus $5,700,000, or $0.64 per share, in the third quarter. Our fourth quarter income of $1,900,000, or $0.21 per share, compared to the prior year's fourth quarter income of $2,100,000, or $0.24 per share, as a result of higher revenues and the impact in 2024 of changes in the fair value of contingent consideration, offset by higher performance-related incentive compensation expenses and additional professional services costs. Economic earnings were $3,300,000, or $0.36 per share, compared to $3,400,000, or $0.39 per share, in 2024. Our 2025 income was $7,100,000 compared to 2024's $2,200,000 on higher revenues, unrealized appreciation on strategic private investments, and the impact in 2024 of changes in the fair value of contingent consideration, offset by higher professional service and information technology costs. Economic earnings for the year were $14,300,000, or $1.61 per share, compared with $7,000,000, or $0.82 per share, in 2024. Firm-wide assets under management and advisement totaled $17,400,000,000 at quarter end, consisting of assets under management of $16,500,000,000 and assets under advisement of $900,000,000. Assets under management consisted of institutional assets of $8,300,000,000, or 50% of the total, wealth management assets of $4,300,000,000, or 26% of the total, and mutual fund assets of $3,900,000,000, or 24% of the total. Over the year, our assets under management experienced net outflows of $1,000,000,000 and market appreciation of $1,000,000,000, and our assets under advisement experienced net outflows of $18,000,000. Our financial position continues to be very solid, with cash and liquid investments at quarter end totaling $44,100,000 and a debt-free balance sheet. I am happy to announce that our Board of Directors approved a regular cash dividend of $0.15 per common share, payable on 04/01/2026 to stockholders of record on 03/03/2026. That brings our prepared comments to a close. We encourage you to review our investor presentation we have posted on our website reflecting quarterly highlights as well as a discussion of our business, product development, and longer-term trends, revenues, and earnings. We thank you for your interest in our company. We will now open for questions.
Operator: Certainly. 11 on your telephone. If your question has been answered, and you would like to remove yourself from the queue, simply press 11 again. We will pause as we compile the queue. This does conclude the question-and-answer of today's program. I would like to hand the program back to Brian Casey for any further remarks.
Brian Casey: Well, you, Jonathan. In closing, we felt like we had a really good year in 2025, but we want to acknowledge the outflows in the fourth quarter, which were disappointing. I do want to make a few comments on those. More than 80% of the outflows were from our Large Cap Value product, and that product has really struggled in recent years against a very narrow, low-quality market environment. If you know Westwood Holdings Group, Inc., you know that we are always seeking high-quality companies that are improving, that are mispriced, and that is not what the market has wanted in the last couple of years. So most of those Large Cap outflows, in fact, more than 80% of those flows were from one sub-advisory client that carries a fee of less than 20 basis points. So while it is a big number going out the door, it is less impact on revenue. We did have a new client come in yesterday with $200,000,000, and they will add another $100,000,000 to $200,000,000 over the next couple of months. We also have a new defined contribution plan that will fund on the last day of the first quarter in our SMID product for $450,000,000, and that will take our SMID AUM very close to the $2,000,000,000 threshold AUM level. Our pipeline looks great. We have, you know, we reached another new threshold last night where MDST, our Midstream Enhanced Energy Income fund, crossed the $200,000,000 threshold. We are in the process of due diligence to onboard MDST under one of the largest wirehouses, which will significantly expand our opportunity set. So we are very bullish on the ETF that we started a couple of years ago. So appreciate your time today. I hope everybody enjoys a long weekend. Please visit our website, westwoodgroup.com, if you have any questions. Thank you.
Operator: You, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.